Operator: Greetings, and welcome to the Vicinity Motors Corp., previously Grande West Transportation Group First Quarter 2021 Corporate Update Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. Before we begin the formal presentation, I'd like to remind everyone that statements made on today's call and webcast, including those regarding future financial results and industry prospects are forward-looking, and may be subject to a number of risks and uncertainties that could cause actual results to differ materially from those described in the call. Please refer to the Company's regulatory filings for a list of associated risks. And we would also refer you to the Company's website for more supporting industry information. I would now like to hand the call over to William Trainer, Founder and Chief Executive Officer of Vicinity Motors Corp. William, the floor is yours.
William Trainer: Thank you, operator, and good afternoon, everyone. I'm pleased to welcome you to today's first quarter 2021 corporate update conference call. The first quarter of 2021 was a blockbuster quarter by any measure, having delivered an incredible 67 buses compared to six in the same year-ago quarter, and 20% more buses than we did in all of 2020 combined. This is a true testament to the unrivaled value we bring to our transit agency customers. We are leveraging our strong momentum to accelerate the launch of our next generation electric EV products, including our breakthrough Vicinity Lightning EV and our upcoming Vicinity Bolt EV as well as other exciting to be announced EV opportunities were pursuing in the background. The land grab for EV market share is underway, and we're well-positioned to gain traction through our long-lasting partnerships with Tier 1 North American transit agencies. Our world-class purpose built EV design includes world class technology partners, allowing us to integrate proven battery systems from components from Tier 1 suppliers like BMW. The development and production of a mid-sized low floor fully electric transit bus with proven readily available technology that can accommodate up to four wheelchair positions is a large step forward for our company in the increasingly sustainably minded transit market. The Vicinity Lightning EV has received its first orders with further indications of interest in additional customer orders expected shortly. 25 Vicinity Lightning EV buses are currently in the production phase to meet near-term anticipated demand. Our operations are running very smoothly, and we continue to refine our strategy to meet our new level of demand. We have strengthened our management team with the addition of respected Canadian transit leader Manuel Achadinha, as Chief Operating Officer and initiated development of our Washington State manufacturing plant and U.S. headquarters, with operations expected to commence in Q1 2022. In his new role, Mr. Achadinha will drive innovation and efficiency to maximize our operations and engineering teams, position the build of our Washington manufacturing facility to support optimal output and scale and increase overall productivity in the organization as we are poised to scale rapidly. We have a solid U.S. growth strategy in place as our manufacturing facility there is spooling up. In order to grow our sales in a significant U.S. market, we've entered into a strategic distribution agreement with the ABC group of companies, a leading provider of motor coach and transit equipment in North America, to distribute our Vicinity heavy-duty vehicles throughout the United States. This partnership will allow us to scale operational in this critical growth market and is more significant than many may realize. In addition, recently, the State of New Mexico and the State of Washington have selected Vicinity buses in their statewide purchasing contracts. That gives the state transit agencies the right to purchase directly from the Company's diverse bus portfolio. We expect to see similar contract wins in other U.S. states in months to come. Along with these strategic shifts, we have recognized the need to change our corporate name to better reflect our increasing focus on the commercialization of our industry-leading Vicinity buses, particularly our new electric lineup. The updated name will bring together our sales and marketing branding, with our corporate identity to take us forward as a major player in the North American public transit market space. Now with that, I'll turn it over to Dan to review the financial statements for the quarter ended March 31, 2021. Dan?
A - Dan Buckle: Thanks, William. Good afternoon, everyone. I will constrain my portion to a brief review of our financial results. A full breakdown is available in our regulatory filings and in the press release that crossed the wire aftermarket close today. Please note, I'll refer to adjusted EBITDA and other non-GAAP measures. For the calculation of adjusted EBITDA and other non-GAAP measures, please refer to the Q1 MD&A, which is available on SEDAR. Revenue grew 588% to $27.3 million in the first quarter of 2021, as compared to $4 million in Q1 of 2020. The increased revenue is primarily driven by the delivery of 67 buses in the quarter, as compared to six buses in the first quarter of 2020. Gross margin increased to $4.3 million, or 15.9% of revenue in the first quarter of 2021 as compared to a gross margin of $100,000, or 2.3% of revenue in Q1 of 2020. The margins in the first quarter of 2021 were positively affected by sales mix, with 2021 deliveries generally having higher expected margins than those realized in 2020. Net income for the first quarter of 2021 increased to $2 million, or $0.07 per share, as compared to a net loss of $1.7 million, or negative $0.07 per share in Q1 of 2020. Adjusted EBITDA for the first quarter of 2021 increased to $2.6 million, as compared to adjusted EBITDA loss of $1.3 million in the first quarter of 2020. Working capital as of March 31, 2021, totaled $20.8 million as compared to $16.7 million as of December 31, 2020. Working capital has increased due to strong demand for the Company's buses with ongoing liquidity provided by robust first quarter revenues. Financially our company is in a strong position. We have a strong balance sheet, regained profitability, and the fundamentals of our operations are very positive. We remain well-positioned for future growth and profitability. I'd like to pass it back to William to offer some closing remarks after which we will begin our question-and-answer session.
William Trainer: Thank you, Dan. Looking ahead into 2021, we are incredibly well-positioned to create long-term value for our shareholders. We are intensely focused on delivering upon our robust 2021 order book, completing our U.S. manufacturing plant, and increasing orders for our innovative Vicinity Lightning EV. I expect to see robust year-over-year growth throughout the remainder of 2021, empowering our drive to create a more sustainable public transit system. I look forward to providing our shareholders with further updates in the near-term as we launch new products, announce new transit agency customers and successfully execute upon our business plan. I thank you all for calling in. Now I'd like to hand the call over to the operator to begin our question-and-answer session. Operator?
Operator: [Operator Instructions] Thank you, sir. Today's first question comes from Chris Souther with B. Riley. Please go ahead.
Q - Chris Souther: Hi, guys. Thanks for taking my question here. Heading into the year, you talked about delivering over $40 million in revenue before the second half of 2021. So it would appear to be more than on track there, but is that $40 million still a target we should be thinking about for the first half? How should we think about the overall order book and where it stands positioning for the second half of the year here?
Dan Buckle: Yes, I'll take that. Dan here. Thanks for the question, Chris. Yes, I would say that we're on track to break $40 million for the first half of 2021. For the entire year, we haven't really given much guidance out there right now, but what we are saying is that we expect to deliver over 150 buses for the year.
Chris Souther: Got it, okay. Then maybe just on the first quarter mix from a geographic standpoint of the 67 buses, you could kind of walk us through that. Were there any Lightning that shipped in the first quarter? I'd be curious, what the timing is kind of those initial shipments you guys had talked about with a few different customers?
Dan Buckle: No, we had no Lightnings in the first quarter. Our Lightnings are planned for Q4 of 2021. We did have almost all of our buses being sold into the U.S. this year for the first quarter, but we had a mix of probably four different customers in the first quarter.
Chris Souther: Okay, that's helpful. The new Lightning order, the 10 orders we're talking about, where does the order book stand now for that product, if you can share that? What geography are the new Lightning orders coming from? I'd be curious.
William Trainer: Yes, we've seen increased demand and customers inquiring on it from both sides of the border, actually. The Lightening, we have 25 in production as we speak right now. Out of that 25, 15 of them are already pre-sold. Actually, all 15 of those are going to a U.S. customer: one to a university and one into our dealer network down there, the other 10. We have a lot of interest right now, on the Canadian side. We have a nice, large, tender outstanding on the Canadian side as well, that we should be able to get some clarity and definitely probably within the next 30 to 60 days.
Chris Souther: That's helpful. Then there really seems to that future EV products potentially in the pipeline here. Can you provide any color there? Are these larger buses, smaller buses, or some other end market that you guys are looking at? Is that something we should kind of wait and see for more info?
William Trainer: Yes, we'll news release everything as it comes out. We've got a mix of customer base all over the place, inquiring on these units right now, but we'll news release as the orders come in, Chris.
Chris Souther: Okay, that's helpful. Then maybe just update on the U.S. facility progress and timeline there: would be great to get kind of a snapshot where we stand and the timelines that we're looking at as far as getting that up and running.
William Trainer: Yes, we're still targeting to have the building completed by the end of this year in Q4. Then we'll probably put it operational in Q1 of next year. You still got to outfit it with some of the equipment that's got to go in there and whatnot, but I think we should be on track to actually have the building completed by Q4. Then, like I say, to get it operational will be Q1 next year.
Chris Souther: Okay, that's very helpful. Just maybe the last one here on the XR Technologies partnership, can you talk about what key components you guys are looking to develop with them to source from them? And kind of what the timeline would be for them to be designed into the Lightning? Or are they already designed into that vehicle?
William Trainer: No, we're looking at their technology. We're always looking to be a leader on the technical side. We'll get some of their product that we can test here, probably before the end of this year. We're very excited about it, because it has the capability to add another 20% to 30% of reduced power from the motor and getting you that further distance on it. So, we're excited to get the technology in one of our vehicles and finish up the testing on it.
Chris Souther: Thanks. I will hop back in the queue. Thanks, guys.
William Trainer: Thanks.
Dan Buckle: Thanks.
Operator: [Operator Instructions] Today's next question comes from Bruce Chan with Stifel. Please go ahead.
Bruce Chan: Good afternoon, gents. I appreciate the time. Just a few left from my side here. We talked a lot about the EV buses, obviously, but just want to get some insights into the order book for the CNG buses as you roll out your U.S. footprint. Maybe you can share some color on what demand is looking like for those units.
William Trainer: Yes. Thanks, Bruce. It's Will here. We’ve seen a lot of interest on the CNG. The CNG is what they consider to be a near zero product for emissions. So, it's a very, very nice product to really transition ourselves into the EV market. We have big plans for the EV and taking a big share of the market share, but as these customers are transitioning, we think that the CNG bus is a perfect fit for a lot of them. As you’ve seen recently, we've had a considerable amount of orders for CNG in the last 30 days.
Bruce Chan: At what point, just in terms of cadence, do you expect the orders to kind of switch over from CNG towards EV? Is there a real substitution going on between those two products? Or is that not really the case?
William Trainer: No, it is. Not all transit authorities or shuttle operators or universities are going to take the EV in year one. A lot of them are talking between a five and a 10-year, swap over before they can get their full fleet. You got to remember that some of these buses are built for a 12-year lifespan. So, they're not going to take those off the road until the life is actually ran out of them, and replace them with the EVs. We've seen a tremendous support for the EV business recently. When we talk about tailwinds, you've got a lot of funding capability coming up both on the Canadian side and on the U.S. side, and it's all driven towards trying to clean the environment and get good sustainable EV buses out to the market.
Bruce Chan: Great. You gave an update on the timeline for the EV Lightning, which was very helpful. Any thoughts on timeline for the light duty gas units?
William Trainer: Yes, same thing. The light duty gas units are running through their certifications and whatnot. We would feel that they'd be ready for marketing. early next year. We are bidding tenders on them right now, and that's a very large market, and we see some transition going on in there, too.
Bruce Chan: Awesome. Then just one last question here. You talked a little bit about gross margins and the different year-over-year being one of mix. Can you just give us a little bit more color on what specifically is driving that high gross margin this time around?
Dan Buckle: Sure. It's Dan here. I would say that the margins that you're seeing now are more normalized than the margins we had last year. In 2020, we didn't sell a ton of buses, but the mix was largely low margin customers in Canada. We had a legacy customer with margins that hovered around the 10% mark, that was the majority of our sales for 2020. The sales that you're seeing right now are more in line with what we would normally be selling and what we were seeing in 2018, 2019. Depending on the mix of products, we can do even better than we're doing right now for Q1 as we sell more units and as you start to see a shift into other products as well, as you start to shift more into the CNG and the electric side as well.
Bruce Chan: Got it. Just one quick follow-up to that if I may. The customer there, the low margin customer, was that mostly a function of legacy or size of the fleet or maybe both?
Dan Buckle: It's both of those. It was a legacy customer, that was the tail end of a five-year contract that we had with that customer. So that contract is over now. We will see definitely increased margins in the future.
Bruce Chan: Perfect. Well, thanks, gents. Really appreciate the time.
William Trainer: Thanks, Bruce.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I'd like to turn the conference back over to Mr. Trainer for any final remarks.
William Trainer: Thank you, operator, I'd like to thank each of you for joining our earnings conference call. We look forward to giving you a continued update on our progress and growth. If we were unable to answer any of your questions, please reach out to our IR firm, The MZ Group, they'd be more than happy to assist you with any other questions. Thank you all.
Operator: Thank you. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines, and have a wonderful day.